Operator: Good morning, ladies and gentlemen and welcome to the Federated Hermes Analyst -- excuse me, the Federated Hermes Q3 2021 Analyst Call and Webcast. At this time, all participants have been placed on a listen-only mode and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Ray Hanley, President of Federated Investors Management Company. Sir, the floor is yours.
Ray Hanley: Thank you and good morning and welcome. Leading today's call will be Chris Donahue, Federated Hermes' CEO and President; and Tom Donahue, Chief Financial Officer. Joining us for the Q&A are Saker Nusseibeh, who is the CEO of the International Business of Federated Hermes and Debbie Cunningham, our Chief Investment Officer for Money Markets. During today's call, we may make forward-looking statements and we want to note that Federated Hermes' actual results may be materially different than the results implied by such statements. Please review the risk disclosures in our SEC filings. No assurance can be given to future results and Federated Hermes assumes no duty to update any of these forward-looking statements. Chris?
Chris Donahue: Thank you, Ray and good morning. I will review Federated Hermes business performance and Tom will comment on our financial results, including waivers. Q3 ended with a record long-term assets under management of $220 billion, including record assets in fixed income at $97 billion and in alternate/private markets of $22 billion. Assets under advice by EOS at Federated Hermes were $1.7 trillion at the end of Q3. We added one new client in the third quarter and six new clients year-to-date. While equity fund flows were negative in the third quarter by $867 million, we saw positive net sales in 15 equity fund strategies and added about $400 million in equity assets from the Hancock Horizon transaction. Our equity fund performance compared to peers was solid. Using Morningstar data for trailing three years at the end of the third quarter, 50% of our equity funds were beating peers and almost 20% were in the top quartile of their category. Equity SMAs had third quarter net redemptions of about $15 million, down from $160 million in Q2, down from $450 million in Q1 and down from $900 million in Q4 of 2020. The domestic strategic value dividend strategy had positive Q3 SMA sales of $34 million and slightly positive combined fund and SMA sales. For the first three weeks of Q4, equity funds and SMAs had net redemptions of about $463 million. Interestingly, about three-fourth of this was a tactical shift by one client. Now, turning to fixed income. Q3 was another very solid quarter of net sales and performance. Assets increased by $6.4 billion or 7% from the prior quarter with nearly all the growth coming from net sales. Fixed income separate account net sales of $4.6 billion were driven by multi-sector strategies. Most of the Q3 separate account net sales came from a large public entity. Fixed income fund net sales of $1.7 billion were driven by short duration strategies of $1.4 billion, with solid results in core total return strategies as well, that's about $360 million. We had 19 fixed income funds with net sales in the third quarter. Now, we're progressing towards the planned Q4 launch of our first two active transparent ETFs: An investment-grade short-duration corporate bond fund and a high-yield short-duration bond fund. These initial offerings draw on our strengths in these areas and we're focused on the successful launch and growth of these initial products, while we also plan for additional ETF offerings. At the end of the third quarter and using Morningstar data for the trailing three years, we had 28% of our funds in the top quartile and 44% above median. For the first three weeks of Q4, fixed income funds and SMAs had net sales of about $454 million. Now in the alternative/private market category, net sales were diversified across unconstrained credit $568 million, absolute return credit a little over $200 million, real estate $180 million and direct lending $68 million. We began Q4 with about $1.4 billion in net institutional mandates yet to fund, into both funds and separate accounts. These additions are expected to occur in fixed income and alternative/private markets, including the aforementioned unconstrained credit, direct lending and trade finance. Now, we are working on two new private markets products. We expect the initial closing for our new direct lending fund during Q4 for about $270 million and expect to raise additional assets in 2022. We are also working on a new private equity fund with an initial closing set for Q4. This will be a mix of existing clients rolling over to the new fund and some new clients. We expect around $300 million in the initial close with an additional capital raise to be -- expected to occur next year. Moving to money markets. Assets were down about $16 billion in Q3 with about $10 billion from funds and $6 billion from separate accounts. Our money market mutual fund market share, including sub-advised funds was about 7.2% at the end of Q3, down slightly from Q2 of 7.4%. While the Fed raised the administered rates in mid-June, the money fund yield curve remained flat and rates didn't change much in the third quarter. We believe that we will see higher short-term rates in '22. We continue to experience more waivers for competitive purposes. Tom will update this program, as I mentioned. Now taking a look at recent asset totals. Managed assets were approximately $636 billion, including $413 billion in money markets, $99 billion in equities, $98 billion in fixed income and $22 billion in the alternative private markets and $4 billion in multi-asset. Money market mutual fund assets were $290 billion. With that, I'll turn it over to Tom.
Tom Donahue: Okay. Chris, thank you. Total revenues for the quarter was up from the prior quarter due mainly to the impact of lower minimum yield waivers of $8.6 million and an extra day in Q3 which increased revenue by $4.9 million. The increased revenue of $5.4 million from higher average fixed income and equity average assets was offset by lower average money market asset related revenue. Q3 carried interest and performance fees were $5.2 million compared to $4.4 million in Q2. Operating expenses decreased slightly in Q3 compared to Q2. Most categories were lower or about flat. We are seeing restoration in travel and entertainment expenses as pandemic-related restrictions ease. The negative impact on operating income from minimum yield waivers on money market mutual funds is currently estimated to be about $39 million for Q4, up slightly from $37 million in Q3. The Q4 estimate is based on our investment team's expectations for portfolio yields, recent asset levels, asset mix and other factors. The amount of minimum yield waivers and the impact on operating income will vary based on several factors, including, among others, interest rates, the capacity of distributors to absorb waivers, asset levels and asset mix. Any change in these factors can impact the amount of minimum yield waivers including in a material way. During the third quarter, we completed the acquisition of BT Pension Scheme's remaining 29.5% non-controlling interest in Hermes Fund Limited Managers for 116.5 million pounds. During Q3, we purchased about 600,000 shares of our stock for approximately $18 million. John, that completes our prepared remarks and we'd like to open the call up for questions now.
Operator: [Operator Instructions] And the first question is coming from Dan Fannon from Jefferies. Your line is live.
Dan Fannon: Well, thanks. Good morning. First question is on the fee waiver outlook and understand the inputs that you mentioned that can drive the changes but curious about the competitive factors and maybe what is different as you think about this cycle of rates and from competition versus previous ones? And is the relationship potentially between distribution expense sharing, any economics of that different this time as we come potentially back to more normalized rate levels?
Tom Donahue: So yes, Dan, this is Tom. The -- our competitive environment remains. It has always remained. And as rates -- as we expect rates to go up over time, we will remain competitive with the rest of the market. And that's basically how we view it.
Dan Fannon: Okay. But I guess just trying to clarify than just the sequential delta with assets being down, rates generally being up but the fee waiver is going higher. Can you give us the factors that are specifically driving that?
Tom Donahue: So the competitive discussion on that is not -- the minimum yield waivers are the waivers to maintain 0 or just above 0 in the rates and that's how we do it. If we are going higher than that, then that's really the competitive nature and that depends on what's going on in the marketplace. And we can't really predict what's going to happen there.
Ray Hanley: And Dan, it's Ray. Just to jump down to the assets a little bit in more detail. At the end of the third quarter, the money market fund assets were higher than the average for the third quarter. So we at least entered into the quarter at a higher average asset level. And with government, the assets were up about $3 billion but government funds were up about $5 billion and that's where the bulk of the waivers happen. So that -- we do our look ahead with those assets in mind.
Dan Fannon: Got it. Okay, thank you.
Operator: The next question is coming from Ken Worthington from JPMorgan. Your line is live.
Ken Worthington: Okay. Coincidence, similar topic here on competitive fee waivers. It looks like the yield on the government obligations fund rose in August and rose in September to match yield levels by some other big government funds at, say, BlackRock and Goldman, although there are some others as well. I assume that this is a matter of competitive fee waivers that we've been talking about. And also to follow up on Dan, I do know you've always said the money market fund business is always very competitive. But now that we're seeing more conviction around rate increases possibly coming next year, is their jocking [ph] taking place to kind of try to win share through yield in a way that maybe you and the industry didn't see 6 to 12 months ago before there was sort of conviction that maybe we might have higher yields happening in 2022 rather than 2023 or beyond? So anyway, just maybe more of the same.
Chris Donahue: Ken, it's really hard to jump into the skin and the brain of the competitors as to whether they're trying to do something one way or the other. And -- so we don't just do that. We deal with the reality of the marketplace, what those yields are. I don't disagree with your observations about what was going on in the summer. And this game will continue. I'll let Debbie comment on some of the specifics of those -- of what was behind those rate moves.
Debbie Cunningham: Sure. This is Debbie. Looking at the various curves and what's available. The government funds which, as Ray mentioned, are generally the ones that are contributing to the highest amount in waivers. We're constrained in the third quarter by what was going on from a debt ceiling limit. And so that has unfortunately been kicked down the road a little bit and will be impacting us to a large degree in the fourth quarter as well. If you look though at other curves that are not being influenced by that debt ceiling constraints, you're looking at curves that in the money markets have generally risen anywhere from 4 to 10 basis points. And our expectation would be as soon as we start tapering and get some supply and the debt ceiling is behind us providing more supply, the government curve will follow in turn. And expectations from a competitor standpoint, are that with expected increasing yields, there's less of a concern about what needs to be enhanced to various shareholders in the marketplace. And I think that's what we're basically hearing and seeing that flip the calendar into 2022, get the debt ceiling behind us get tapering underway and the government curve starts to look like the prime curve, whether you're looking at LIBOR or bus or whatever the indices are and that means increasing rates.
Ken Worthington: Perfect. Thank you so much.
Operator: The next question is coming from Bill Katz from Citigroup. Your line is live.
William Katz: Okay, thanks very much for taking the question this morning. You were within through some of the product launches pretty quickly this morning. Just wondering if you could repeat what you had mentioned in terms of the direct lending and private equity? And how do those funds compare to predecessor funds? And then a broader question, Chris, there seems to be a fairly big focus on tapping into the retail democratization for alternatives. I was just sort of wondering what's your sort of go-to-market strategy to try and pick up on that opportunity?
Chris Donahue: Yes, Bill, in terms of those various items, there are two basic items. One, of course, is the direct lending and this brings us up to new totals and we'll get into that in a second. But what's going on here is a step out into private markets that was part of the -- sort of behind the curtain, not in the first wave of enthusiasm for the Hermes deal in the [indiscernible]. And that the entire of the private markets business, in our view, could obtain the similar size to where the whole Federated enterprise was when we did the acquisition. And so we're very happy to see this private lending proceed along. And this is consistent with what's going on in the other -- in the marketplace broadly as well. And on private equity, we have a very, very good set of investors there. And as I said, we expect around $300 million in the initial close and that brings us up to some pretty tidy figures as well. And so, Ray give you those numbers and then I'll have Saker talk to you about the whole effort from his point of view as well. .
Ray Hanley: Yes, Bill, just on the activity we expect in Q4. On the direct lending, we will have funding in the $300 million range which would bring our total direct lending assets to about EUR 700 million. And then we're looking at additional asset rates for that product next year. So that will stay open and continue to raise. On the private equity side, this would be another iteration of what we've done to date. And we expect, as we said, about $300 million in the initial closing from a mix of rolling over existing clients staying in and some new investors as well. And that vehicle will also look to raise additional funds next year. Saker?
Saker Nusseibeh: Thank you very much. So in terms of the whole private markets business, we have a very strong footprint across the firm in private markets going from property through to infrastructure, through to private equity, through to direct lending, through to unconstrained credit. And we view this as a singular platform. We're increasingly working on being able to present it to our clients as one so that they can choose on various facets within it, specifically talking about what went through and what Chris talked about. The direct lending fund typically works in vintages that close. The fact is that we've raised the first part of the vintage faster than we'd anticipated. And the flows look, as you just said, to be strong and we expect to continue raising assets for that into next year, into next quarter. It is a well-regarded team, one of the best in the business according to many analysts out there and the performance has been strong in the past which is why we continue to see this flow through. The private equity team is a very well-established team and this is, again, a new vintage that they've raised and we're hoping to raise assets that you've heard about and is very strong. In real estate, I've talked to you in the past, there are two kinds of real estate we do. It's particularly U.K.-focused. One is a fund, a unit trust an equivalent what the Americans would call a mutual fund. That continues to have the best track record over 10 years and continues to attract capital. But in addition, we have these development projects which we call place making which have had outstanding returns and which continue to attract assets and we're pretty confident that we will continue to see clients coming into this but there tends to be big chunks, one-offs. So they don't tend to be sort of [indiscernible]. As far as your question of how do we democratize the access to private markets. It is something we're working on. We're not yet ready to come to the market and talk about how we're doing it. But it's certainly something that we do think about and we're thinking about how to make our capability available in different ways. It is combined a very strong business with the projection for growth, as Chris has said which is quite substantial. I return it to Chris.
Tom Donahue: One other thing, Bill. The -- when we purchased Hermes and had all these exciting businesses, Saker and his team developed those with the relationship with the pension scheme and what we've talked about now is how do we institutionalize this and make it available to a broad group and that's going to we're coming down the path to being faced with adding some distribution and other operating expenses that will come along in this business next year. So -- but we continue to be pretty excited about it.
William Katz: Thank you.
Operator: The next question is coming from Kenneth Lee from RBC Capital Markets. Your line is live.
Kenneth Lee: Hi, thanks for taking my question. One, just around the competitive landscape for money market funds. Wondering if part of the competitive reasoning is seeing any clients going to either money market fund substitutes of any sort?
Debbie Cunningham: Well, it seems as though deposits are always in the picture, unfortunately, as a money market competitive product. And even in today's low rate environment where there are substantial amount of the deposits that are uninsured and that are noninterest-bearing, that seems to be nonetheless a choice of many of our clients. As far as other types of products, I know lots have been mentioned as far as ETFs, cash like ETFs, cryptocurrencies, we're not seeing that occur at this point. We are -- we have those on our landscape as something to watch. We're certainly understanding and involved in the market so that it doesn't creep up on us and become a distinctive competitor before we would recognize that but that's not necessarily anything we're seeing at this red hot moment in time.
Ray Hanley: And Ken, just to add to that, we are seeing, of course, clients, corporations putting cash to work, investing as we enter an up cycle and come out of the pandemic. So we will expect to continue to see uses of cash, whether that's stimulus money that's flowed through and flowed into money funds and eventually goes on to do its intended stimulus work as well as, as I mentioned, corporations beginning to invest and seeing opportunities where they were more hunkered down over the last 18 months.
Debbie Cunningham: And one last thing, Ken, is that in the context of our Microshort Ultrashort products, there have been clients that have -- over the course of the last two years with ultra low rates continue to bucket cash and go a little bit longer into those products. In addition, those that are concerned about a steeper yield curve and higher rates in the long end of the curve have also come into those products. But again, with a full lineup of funds that go from basically overnight out to 30 years, we're liking those flows.
Kenneth Lee: Great, very helpful. And just one on the private markets direct lending fund. I wonder if you could just talk a little bit more about how the underlying economics work for Federated Hermes? And then perhaps it sounds as if it's a very experienced team there. Just wondering, in general, how the fund can compete against perhaps some other players that do direct lending through permanent capital vehicles?
Ray Hanley: I can comment just broadly on the fee levels for alternative private market and Saker can address the competitive landscape for direct lending. Essentially, our private market/alternative business, it blends in at around just under 40 basis points and that does not include performance fees and carried interest which come along episodically. And that's a range of strategies. We wouldn't comment on particular fund levels for particular slices of that at this point. Saker, do you want to talk to the competitive landscape?
Saker Nusseibeh: Sure. So I mean you're right, there are many different direct lending funds and efforts out there. I think what differentiates us is three things. The first thing is the team under the leadership of Patrick Marshall, it's a particularly experienced team, particularly in the lending space going all the way back to the financial crisis and that carries a lot of weight. The second one is the methodology of assessing loans is slightly different, not least because as we -- as you've heard from both Chris and myself in the past, integrating ESG factors, we believe adds to alpha. And we believe, looking at future factors also adds to alpha and gives you insight and we think that allows us to continue to have a competitive advantage against our competitors and make it more attractive to buyers, particularly in Europe. And the third way is the way that we source the loans are a little bit different from the marketplace. We can take this offline but we have a slightly different model which we think is particularly successful. So we're pretty certain when we approach clients and we've seen this very much so in Europe. It is a very strong proposition and that is attested too by the fact that whenever we launch new tranches, we have so far managed to fill the first and second tranches very quickly. So I'm pretty certain that we do have a strong competitive advantage.
Chris Donahue: And I would add on the PE side, the way you phrased the question, you had it that private equity and direct lending fund, they're not together. They're completely separate. Each individual fund. And on the PE side, it's a unique way of offering that has gone on quite successfully for a long time, originating obviously, with the Pension Scheme but growing into third-party investors with a club-like approach of investors and a very thematic approach from the investment advisory side of it, coupled with the ESG integration. And so in each of the direct lending and the PE, you see what we think is a unique flavor that allows us to be enthusiastic for these offerings.
Kenneth Lee: Great, that's very helpful. Thanks, again.
Operator: [Operator Instructions] The next question is coming from Patrick Davitt from Autonomous Research. Your line is live.
Patrick Davitt: Hey, good morning. One more follow-up on that. So am I hearing correctly that the private equity strategy doesn't have kind of like vintages like we're used to with the alternative asset management we cover. And through that lens, is it almost an evergreen type strategy that can kind of always be raising money. Could you give -- is that the right way to think about it?
Saker Nusseibeh: So it does have vintages but it rolls vintages. The methodology, as Chris said, is what really matters in the private equity business. Again, I'd like to emphasize it's a lead investor and a team that has a stunning track record going back many years and that's public domain, so you can check it out. And they've developed this very differentiated way of accessing deals in private equity markets. The second element is this, again, very differentiated, thematic overview that they put on. Now, what we typically do with all of these strategies in private equity is we launched different vintages of funds and that's what we're looking to do as we go forward. And quite often, this is past performance is no guarantee of future. But quite often, clients who were in the previous vintage will roll over into the next vintage. But private equity has to live in vintages because think about it, what happens is once you invest in private, there comes a time when you sell it on, that's how you realize the profit and hopefully get that carried too. I hope that answers your question.
Patrick Davitt: But it's not like -- it doesn't sound like there's like a Hermes Fund 5 or they have been following on Hermes Fund 4. Is that correct?
Tom Donahue: It sounds like there is Hermes Fund 5. Is that what you just said?
Chris Donahue: Yes, let me answer that. Yes, you do name them like that. But it's far better for us not to talk about the names just yet because of legal constraints but that is exactly what happens.
Patrick Davitt: Can you tell us the size of the previous funds?
Ray Hanley: So, I will come back off Line and get you with that. Yes, I will do that.
Patrick Davitt: All right. Last question. Any color on how to think about the incremental earnings impact from having a full quarter of the new Hermes ownership in 4Q?
Tom Donahue: I think we went over that last time that there was a small, small sense involved in the positive side of things. And Saker -- Ray does have the numbers from the previous equity funds.
Ray Hanley: Yes. And Patrick, as you know, I mean, there's committed capital and invested capital. And the last read around midyear, we had about $850 million in that fund. If there was more than that, about twice that committed. And so I don't have any more recent figures. There may have been additional investments made over the last quarter. But that gives you a rough dimension.
Patrick Davitt: Thanks.
Operator: The next question is coming from Robert Lee from KBW. Your line is live.
Robert Lee: Great, thanks, good morning everyone. I guess my first question is in thinking about expenses heading into next year now. I know, Tom, you don't -- had no interest in giving guidance or anything but I'm just kind of curious kind of generally T&Es coming up and investing in the private markets business. I assume you're seeing like the rest of the U.S. industry pressure on compensation costs. So if we're thinking into next year, putting aside any fee waiver impacts on distribution expenses and whatnot. How should we be thinking about kind of comp growth into next year? Is it like inflation rate plus a reasonable spread? I mean how are you kind of -- because you have to be getting close to your budgeting process? How should we be thinking of it next year?
Tom Donahue: So if we just go back and read your question, that's the answer. I'm being funny but yes, you got most of the subjects. I'd start out with this on just looking at this quarter and into Q3, inflation, it's real, it's going to affect us incentive comp versus run rate benefit, our tech continuing to invest into the -- in the operations here, market data, particularly ESG-related, professional service fees, that's just going to be inflation, office and occupancy. Why does that go up? Well, that's basically returned to the office that we expect to be happening more advertising and promotion, in our advertising and promotion line, that's conferences which -- what is that, that sales meetings and we certainly hope and expect that to tick up. And then, travel and entertainment -- or traveling related which is our salespeople and investment people and others going around visiting clients and visiting companies, we have seen that tick up in Q3 and we expect it to go up in Q4. And all those same things, I think, will also affect next year, including furthering our private markets business.
Robert Lee: Okay. And then also -- I mean, going back to the private markets but maybe a little bit from the different angles. So obviously, there's a big notable one yesterday but obviously, a lot of managers like yourselves are expanding their private markets capabilities in different ways. But from a capital perspective, private market strategies often take bigger commitments of capital, whether it's for GP [ph] commitments to funds or to seed new strategies and I guess, BP served some of that purpose in the past. But do you envision this being a bigger use of capital to kind of accelerate growth of that business? And then part two of that would be as you do think about M&A, both on M&A, is that kind of an increased focus to find the complementary or scalable private markets businesses as well?
Tom Donahue: Yes. So on capital, each of our teams has talked to us about how exciting it will be for Federated Hermes, Inc. to make an investment in there as part of the process, show good faith, to help the capital raise. And of course, we'll make a lot of money on it with this investment. So yes, Rob, I would expect us to be doing more of that. In terms of M&A, it's hard to buy those businesses and we really are very fortunate to have purchased Hermes and have each one of those lines of businesses in shape that we could grab hold of it, structure it together, as I said before, institutionalize it, get some distribution teams going and go out and move it further and further away from just the original investor which Hermes has already -- the Saker's team has already done a lot of it but we expect a lot more. And it's -- that's a lot more -- it's a lot easier to do since we already did make the acquisition. But we do have our team out looking and how do we bring things. One of the interesting factors is how do we bring these four areas, five areas that Saker has talked about to the U.S. and what -- will we need M&A to do some of those? We have considered and we'll look at various opportunities there. It's just they're hard to do.
Robert Lee: Great, thanks for taking my questions this morning.
Operator: I'd now like to turn the floor back to management for any closing remarks.
Ray Hanley: Thank you, John. That concludes our call for today and we thank you for joining us.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.